Operator: Good morning, everyone. My name is Regina and thank you for joining the Fourth Quarter and Full Year 2024 Earnings Conference Call for Bragg Gaming Group. I'll shortly hand the call over to Bragg Gaming Group, CEO, Matevz Mazij, who will comment on Bragg's fourth quarter performance and its full year 2024 performance and Bragg's, CFO, Robbie Bressler, who will review and discuss the company's fourth quarter and full year 2024 financial results. I would like to remind you, if you have not already done so that you can review Bragg's fourth quarter and full year 2024 results presentation on the company's investor website at investors.bragg.group, that's investors plural with an S. Then go to the events and presentation section. On this call, there will be a review of Bragg's financial and operating results for the fourth quarter and full year of 2024. Following these prepared remarks, the conference call will be opened to a question-and-answer period. I would like to remind you that certain statements made on this conference call and the responses to various questions may constitute forward-looking information or future-oriented financial information within the meaning of applicable securities laws. If you have not already done so, please familiarize yourself with Bragg's full explanation of these risk factors available on the second slide of Bragg's fourth quarter and full year 2024 earnings presentation, which is titled Forward-Looking Statements, and which is published on the website at investors.bragg.group. This information is also available in Bragg's recently filed fourth quarter and full-year press release and other publicly available disclosures. I'd like to turn the call now to Matevz Mazij, Chief Executive Officer of Bragg.
Matevz Mazij: Good morning, everyone. My name is Matevz Mazij. I'm the chairman and the CEO of Bragg. On this call today, I'll start with our fourth quarter and full-year operational highlights, including our key launches and latest news, and then I'll pass the line to Robbie who will discuss our latest financial results. When Robbie has given his commentary on the numbers I'll discuss more about our strategy and operations as well as our outlook for 2025 and after that, Robbie and I will be more than happy to answer any questions you may have. To start, I want to give a little reminder of who we are. We create and deliver cutting-edge casino games from our in-house proprietary casino game studios, as well as on behalf of carefully selected third-party studio partners. With our proprietary player account management software and full in-house developed iGaming technology stack. We empower operators to launch and scale their operations, providing them with the tools required to seamlessly launch, run, scale, and optimize their casino, sports betting and lottery websites for maximum success. And we're focused on enhancing the end-user experience, leveraging the huge amounts of data we process using our advanced analytics and powerful AI technologies to enhance player engagement, maximize revenue potential, and drive smarter, more efficient iGaming operations. Now, let me tell you about our journey in the past year. Throughout 2024, we've taken decisive and meaningful steps to support growth across all of our key business areas, a strategy which has delivered a stronger and more resilient business going forward into the future. We've added experience industry experts to the Bragg executive team, supporting Bragg's growth trajectory, beginning with the addition of Simon Dudnjik, formerly of Sportradar as our new Chief Human Resources Officer, the recruitment of former DGC and Micro Gaming executive Neill Whyte as Chief Commercial Officer; Tommaso Di Chio formerly of Kambi, joined as Chief Legal and Compliance Officer; and my colleague on this call, Robbie Bressler, a former Senior Bally’s Executive, as our Chief Financial officer. We've increased our market penetration in North America, a hugely important market for us. In October, we launched in Delaware, our fifth U.S. iGaming state with Rush Street's Interactive Pet Rivers online casino. We have continued to expand our North American distribution with notable launches with PET MGM in Pennsylvania last June, cease in Pennsylvania and Ontario in August. Most recently, we launched our content with DraftKings in Pennsylvania last Friday, March 14th, and with fanatics in Michigan on Monday this week. We now reach over 90% of the total addressable U.S. iCasino market of over $8 billion with our proprietary and exclusive online casino content. And our progress on the strategic goal is paying dividends. I can share that during the first quarter of 2025, we're comfortably on track to more than double wagering on our proprietary and exclusive games in North America, compared to what we saw in the first quarter of last year. Our most recent release, track and Power Triple Gold from our in-house studio Wall Street gaming was launched just 12 days ago, but is already looking like it will be the best-performing game we have ever released. We're also proud to be forging strategic partnerships, such as our recently announced content development and technology leasing agreement with Caesars Entertainment, leveraging our slots development expertise and proprietary technology, while further strengthening ties with an important top-tier U.S. partner. Strengthening our already dominant position in the Netherlands we supported our existing partners BetNation.nl. Comeon.nl and 711.nl with launches of Sportsbook during 2024, using technology from our fantastic third parties, spoke partners. We also added our sixth PAM customer in the Dutch market in July by launching HardRockCasino.nl, powered by the Bragg PAM and full iCasino tech stack. Sticking with our PAM, we added our second PAM partner in the Czech Republic, powering the launch of KingsBed.cz in June. In the fourth quarter of 2024, we announced that significant insider shares purchases have been made demonstrating management belief and confidence in the business going forward. We have also introduced a new stock appreciation rights incentive plan. This plan aligns senior management with shareholders by rewarding long-term growth with the addition of accelerated investing in the event of an earlier change of control. We doubled down on our commitment and execution of our strategic growth plans by launching our proprietary and exclusive iGaming content in Brazil on day one of the opening of the regulated market on January 1st, 2025, establishing a strong position in this emerging and important market for Bragg. Lastly, we were pleased to announce recently that we have grown our Canadian footprint into a second province, Quebec, agreeing a content-led partnership with Lotto Quebec, the local provincially licensed monopoly operator. Now I'm going to turn the line over to Robbie to discuss our financial results. Robbie.
Robbie Bressler: Thank you, Mats, and good morning to everybody. I will now cover our financial results for the fourth quarter and full year of 2024. Total revenue for the fourth quarter was EUR27.2 million, another record high up 16% compared to the fourth quarter of 2023. Additionally, Q4, 2024 gross profits grew by 31% to EUR15.8 million with gross profit margin rising by 650 basis points to 58%. Adjusted EBITDA during Q4 also grew by 68% to EUR4.7 million our fourth consecutive sequential quarter of growth. Our adjusted EBITDA margin was 17%, 530 basis points higher than the 12% we recorded in the same period last year. Our performance in Q4 2024 was fueled by the continued expansion of our proprietary content, primarily in North America, allowing total proprietary content across the whole company to reach a record 13.3% of our total revenue in Q4. Growing our proprietary content remains a top strategic priority as it enhances margins and strengthens our competitive position. In addition, revenue from our PAM and turnkey solutions continue to gain momentum rising to 24% of total Q4 revenue. The combined growth of proprietary content and PAM and Turnkey Solutions is driving a favorable shift in our revenue mix, reducing dependency on lower margin, aggregated third-party content revenue. In Q4 2024 aggregated third-party content revenue accounted for just 45% of total revenue, the lowest level in the past eight quarters. Total revenue for the year end 2024 was EUR102 million up 9% compared to 2023. Additionally, 2024 gross profits grew by 8% to EUR54 million with gross margin decreasing slightly by 40 basis points to 53%. Adjusted EBITDA for the full year 2024 grew by 4% to EUR15.8 million with an adjusted EBITDA margin of 15.5%, reflecting in 80 basis points decline from the prior year. However, as previously noted, our margin performance has improved through 2024 as evident in our Q4 2024 adjusted EBITDA margin driven by continued shift towards higher margin products. Turning to the balance sheet, as of December 31st, 2024, we had EUR10.5 million in cash and cash equivalents. During the year, we fully settled the remaining balance of the Lind convertible debt, further strengthening our balance sheet. Our only remaining debt facility is a USD7 million secured promissory note maturing in April, 2025. We are actively working to refinance this facility upon maturity with a more flexible structure, ideally transitioning to a revolving credit facility that provides enhanced liquidity while securing lower borrowing costs. Net working capital, excluding deferred consideration and promissory note at the end of December 31st, 2024 amounted to EUR11.9 million. Looking ahead to 2025, I reiterate the guidance provided in January, 2025 where revenues projected to reach between EUR117.5 million and EUR123 million and adjusted EBITDA is expected to rise to between EUR19 million to EUR21.5 million. At the midpoint of our guidance, revenues forecasted to grow by 18%, while adjusted EBITDA expected to rise by 28% with adjusted EBITDA margins improving by 140 basis points. Finally, we continue to develop a robust pipeline of opportunities that have realized could further enhance our 2025 performance beyond the assumptions included in our current guidance. I will now hand the call back over to Mats.
Matevz Mazij : Thank you, Robbie. I want to give you a snapshot of our progress over the course of 2024, both from an operational and strategic perspective and outline how our product and technology are ensuring that Bragg continues to stand out from the competition. We get the highest margins on content when we are the owners of the games, and we also own the distribution channels. And during the last year, we continued to ramp up our proprietary game production from our in-house studios, including Wall Street Gaming, atomic Slot Lab, and Indigo Magic, and we also increased our proprietary distribution networks by launching our games with more operators in more markets. Revenue generated at Bragg from proprietary content has risen at a compound annual rate of 59% since 2021, and at an even higher rate for proprietary content, which also gets to market through our proprietary distribution channels. I'm excited to share that our momentum has continued into Q1 with Dragon Power Triple Gold launching exclusively with PET MGM in early March, and performing unbelievably well our strongest launch yet, a true testament to our proprietary content capabilities. Our proprietary content now reaches 90% of the U.S. iGaming market, which is worth an estimated $8 billion. And as a reminder, we believe that the U.S. iCasino market at maturity could be worth $77 billion. We have elite partnerships supplying our content to all tier one operators, DraftKings, Bandio, BetMGM, seizes, and more leading the way in U.S. iGaming and all partnered with Bragg positioning us to capitalize on this huge market as it continues to expand. We're licensed in all key iGaming states, most recently launching in Delaware in October, and we expect to launch in West Virginia during the second quarter of this year, which will take us to six U.S. iGaming states live. We've got two industry veterans, Neil White and Garrick Morris leading our U.S. push as Chief Commercial Officer and Senior VP Commercial for the U.S. and Canada. As we announced during the first quarter of 2025, we're set to turbocharge our U.S. growth through our expanded partnership with Caesars Digital. The enhanced partnership includes a strategic technology licensing framework for Caesars to lease Bragg's RGS, as well as further options to license the Bragg hub product delivery and casino game aggregation platform and Bragg's fuse player engagement platform. In line with our confident outlook for 2025, we're estimating that the U.S. iGaming market will account for 15% of our total revenue over the course of the year. I spoke earlier about our launch in the Brazilian regulated iGaming market, which took place on January 1st, 2025. We're now strategically positioned to make a big impact in Brazil with content-based agreements in place with more than 30% of licensed operators in the Brazilian market, a figure which should rise to more than 50% by the end of the second quarter of 2025. I want to expand on this with some important numbers to consider. Brazil's iGaming market is expected to generate gross gaming revenue of $1.5 billion in 2025, surging to GGR of $3.3 billion over the next four years. Into this, we're launching our high-margin proprietary and exclusive content a strategy we are all projecting will see up to 10% of our total revenue coming from the Brazilian iGaming market this year. Outside of the Americas Bragg’s growth trajectory remains strong. We're continuing to expand in European and rest of the world markets and are constantly innovating and exploring new products and ways to better service our partner’s needs. We're accelerating growth through integrations with leading operators across key European markets such as Italy, Spain, Sweden, as well as the UK. We have been expanding our powered-by-Bragg studio partnerships to further enhance our exclusive and localized online casino content portfolios. Outside of content, we are continuing to advance our frontiers of our technology through innovation, notably with our fuse marketing and promotional toolset, as well as leveraging AI-driven insights to enhance the player experience while at the same time maximizing our profitability. Looking ahead, we have a strong pipeline of content, technology, and product opportunities driven by innovation and with the potential to unlock further growth in 2025 with additional upside potential beyond our current 2025 guidance. Thank you for listening. I'd like to take this opportunity to pay tribute to the entire Bragg team for their continued unwavering hard work and commitment during the fourth quarter and throughout 2024 and beyond. And now I will turn the line back to the operator, and Robbie and I will be happy to take any questions.
Operator: [Operator Instructions]. Our first question will come from the line of David McFadgen with Cormark Securities. Please go ahead.
David McFadgen: Just looking at the U.S. market you're expecting it to be up to 15% of revenue. I guess it was about 5% in 2024. If I got that correct. Just wonder if you could confirm that. And then is your deal with Cesar, is that going to be the primary driver to take it there?
Matevz Mazij : Thanks David. I can answer that. So, in terms of our growth in the U.S. for 2025, Caesars is definitely part of it, but a big chunk of our growth is going to be coming from exclusive and proprietary content. So, the content that or the slot game that Matt mentioned Dragon Power triple gold, that's an example of what sort of content we believe is going to drive that growth in the U.S.
David McFadgen: Okay. And then on Brazil, right now, you have more than 30% of licensed operators using your content or your PAM. And you said you expected to go to 50% by the end of Q2 or Q1.
Matevz Mazij : I think through Q2, we will get to that level. And just to be clear, the current play in Brazil for us is on the content side. So, we're not certain if PAM is going to be rolled out there, but what we're seeing from the strength of our content has been quite promising. So as of now, it's going to be focused on aggregated content, proprietary content, and exclusive content rollout.
David McFadgen: And then just a question on the Netherlands, I think I saw an industry trade article talking about potential to ban advertising, or at least some advertising, maybe on the sports betting side and in the Netherlands. I was wondering if you can give us an update on sort of the regulatory environment there and the impact on the market.
Matevz Mazij : I think what you're hearing is the same thing that we're hearing, still seems to be in flux in terms of exactly what's going to come down. Our business is primarily focused on the iCasino side, so any impact to sports betting advertising would probably not be too impactful to us. We do project in 2025 to see constant side. Sorry, we expect to see the market decrease in contract in 2025. That's built into our assumptions. So far, it's moving as we expected, but we also believe over time, because we do have a strong market share in that jurisdiction, so the operators that run off our PAM hold a sizable market share, that there will be opportunities to increase that market share. As a lot of the smaller operators who don't necessarily have the bandwidth, the abilities to absorb the margin decreases, because of regulatory changes will come out of the market. So, I do think it's over time could be good development in that region for us.
David McFadgen: Okay. And then just last thing on, when we look to 2025, can you give us sort of a range in terms of what you expect to spend on PP&E and intangibles? Because I saw that, free cash flow is a bit negative. You're spending a fair bit on those two items. I was just wondering if that's going to come off at all.
Matevz Mazij : I expect it to stay relatively consistent, so we should be scaling it in the sense that our revenue will be increasing in double digits, but I don't expect that our deferred cost to move in the same direction. One thing that will hit us in 2025 is the certification costs for content that we're rolling out. So, as previously mentioned, we're doubling the cadence of title releases, hat we do in an annual period. So that does bring one-time certification costs that do get capitalized and amortized over, an estimated life of the content. But again, we won't, we do expect to see leverage from what we're spending by increasing our top line.
David McFadgen: Okay. All right. Thanks.
Operator: Our next question comes from the line of Gianluca Tucci with Haywood. Please go ahead.
Gianluca Tucci: Hey, good morning. I guess I can start off on the gross margin. Seems like it was a record gross margin quarter at 58%. And it sounds like you expect continued expansion on the margin side given the revenue shift to proprietary content. I'm just wondering if you have any short-term or longer-term targets on the gross margin side?
Robbie Bressler: Good question. Yeah, Q4 was an exceptional performance in terms of gross margin percentage. We do always anticipate Q4 to be our strongest quarter. And that's indicative of how, what we see from our operators and just the performance of high casino and sports books in general. So, I don't think that's an assumed run rate. And based on our guidance, our gross profit margin will be less than what we achieved in Q4. But I do think directionally that's where we're moving towards and I think through the year, we should be able to get to a level through, into Q4 of 2025. That's not too far off of that, but I don't think at this point that Q4 run rates could be assumed for the full period. But, we'll wait and see the performance of our proprietary content specifically this Dragon Power triple goal. This is really exciting for us. This is the amount of wagering and just the first 10 days has been like 1.4 times what we've seen on any title we've ever released. So, we're quite excited about, where our capabilities have gotten to on the proprietary content side. So, we'll wait and see.
Gianluca Tucci: Okay. Thanks for that, Robbie. Good color. And then just if I could ask on your pipeline, I guess Mats, like, are there any bigger opportunities that you're working on at the moment? Just wondering if you could give us an update on the activity in your pipeline.
Matevz Mazij : Yeah, sure. We have a very strong pipeline of different opportunities in different regions. Obviously, our focus regions are going to stay the same. We're very focused on getting as many operators onboarding onto our aggregation platform in Brazil. We're focused on getting our content distributed in Brazil and we have all licensed operators on our list and actively working on them. Then U.S. still working on deals that are going to allow us to distribute more content in the regular U.S. market. And obviously, working on both aggregation and proprietary content opportunities in Canada as well, where there are still operators that are not signed up to our hub platform or our proprietary content platform. Then we have a very strong pipeline of PAM and turnkey opportunities on both sides of the ocean in Europe and in Americas. Obviously, can talk about details there. And I'd say that we're very excited about further regulation in the united potential further regulation in the United States and potential further regulation in some of the markets in Europe where we're actively discussing some of the opportunities that may show up for us in the next 12 months to 24 months.
Gianluca Tucci: That sounds good. So, like if anything in your pipeline does come to a head -- work to head, I'm assuming that's all accretive to your guidance that you've issued for 2025?
Matevz Mazij : That's correct.
Gianluca Tucci: Great. And like just one more Robbie in terms of guidance, is how should be thinking about seasonality for this year? Is it going to be business as usual or anything to look for this year in terms of seasonality?
Robbie Bressler : No, I'd say business as usual. Again, Q4 has always been one of their strongest, if not strongest quarter, so we do expect that again this year. But other than that, we don't expect much impact beyond just the regular cycles of sports and I casino play. So usually the summer months are less strong, just better weather people are not necessarily playing as much and sports cycles are not the same, but nothing unusual this year compared to prior years.
Operator: [Operator Instructions]. Our next question will come from the line of Jack Vander Aarde with Maxim Group. Please go ahead.
Jack Vander Aarde : Good morning, guys. Encourage to see the strong results and outlook. Thanks for taking my questions. I don't have too many left though. Maybe a question for Mats and Robbie. Just with regards to that robust pipeline of opportunities that you mentioned that's under development but not baked into the guidance. Just a couple questions there. Does this include both organic that pipeline, both organic growth upside, potential and as well as M&A? And then also is there any potential for new U.S. states going live in 2025 that could be assumed in that kind of pipeline of developing opportunities? Thanks.
Robbie Bressler : Good questions. So, in terms of pipeline, it is strictly just, I'd say organic opportunities. So, to scale our existing products into new opportunities and we are very excited of what the opportunities are and what we see on the pipeline and when we speak to it. These aren't just ideas or targets that we have on a chalkboard that we're going to go after. These are processes that we're actively involved in, whether it's an RFPs or we're, in discussions to solidify it and a deal that we can roll out in the near term. So, things are really progressing very well, and I think we're at a good position in the sense that the amount of opportunities in the pipeline is well beyond what we, could tackle in a 24-month or 12-month period. So, we in a sense have the luxury of going after the opportunities that are going to move the needle the most, for us from a valuation point of view. So, we know that bringing more revenue into our North American story is very key. We also want to look for opportunities in our pipeline that leverages existing investments into our technology. So, we really have good things happening and hope to be able to have some positive announcements in the near future about moving some of these opportunities along. In terms of U.S. states opening up, it's not necessarily baked into any of our I'd say pipeline opportunities in, except though we know that the US market right now, especially on the iCasino side sits that about 12% of the U.S. total population is being exposed to iCasino regulated play. And we also see on the sweep side of things that there's a massive market of players playing iCasino-style games in an unregulated environment. So, we are very focused on getting our company well positioned to capitalize on that, uh, additional TAM that's going to open up as the U.S. states open up. So, it's very much in our strategy to be well-positioned with operators and with strong products to be able to capitalize on what we think is going to be like a 77 billion market once it's that maturity from an iCasino point of view. I'm sorry, Jack, you have one more question? Remind me of what that was.
Jack Vander Aarde : Actually, I think you, another one was M&A, but you really hit all those, you hit the nail on the head with a lot. There's a lot of, it was a lot of great color. I guess that would be built in the upside, the M&A side though as well. If there's anything that would be, I don't know, a new vertical maybe within, whether it's charitable gaming or these sweepstakes businesses. Is there anything else that you could be thinking from an M&A perspective to enter a new vertical?
Robbie Bressler: I'll never say never, but it's not in our core focus right now. Any opportunity to increase the size and scale and bring more shareholder value, we'll look at, but it's not a strategic focus right now. Our focus right now is operating as strongly as we can, improving the metrics that we believe are going to add more value to this company and make us more attractive for investors.
Matevz Mazij : f I may add. Just a few more things. So, on the positioning, so we have in the last 12 months been able to position ourselves as a tier one supplier of PAM and solutions and content delivery platforms. We have onboarded clients that are tier one in respected jurisdictions and in short-term and mid-term, we're going to leverage that and use the incredible amounts of data that we have about gaming activities and behavior of end users to effectively distribute content and effectively place and promote, proprietary content in particular at the same time onboard Tier 1 clients, whether they're migrating from all platforms or new players entering new jurisdictions or existing jurisdictions that are still in development. And that's going to be our focus in terms of business development and moving forward. And like Robbie said, execution is our key focus in the next two or three quarters.
Jack Vander Aarde : I appreciate the added color there. I think that does it for me. Again, congrats on the strong results and outlook. Thanks guys.
Operator: And that will conclude our question-and-answer session. I'll hand the call back over to management for any closing comments.
Matevz Mazij : Thank you everyone. Look forward to speaking with you in the near future and talking about our Q1 results in mid-May.
Robbie Bressler : Thank you very much.
Operator: This concludes today's call. Thank you all for joining. You may now disconnect.